Operator: Good morning and good evening, ladies and gentlemen. Thank you for standing by for Yalla Group Limited’s First Quarter 2025 Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s prepared remarks, there will be a question-and-answer session. Today’s conference call is being recorded. Now, I would like to turn the call over to your speaker host today, Ms. Kerry Gao, Investor Relations Director of the Company. Please go ahead, Ma’am.
Kerry Gao: Hello, everyone, and welcome to Yalla’s first quarter 2025 earnings conference call. We issued our earnings press release earlier today, and it is now available on our IR website as well as on Newswire outlets. Before we continue, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding these and other risks and uncertainties is included in our earnings release and our annual report filed with the SEC. Yalla does not assume any obligation to update any forward-looking statements, except as required by law. Please also note that Yalla’s earnings press release and this conference call include a discussion of unaudited GAAP financial information as well as unaudited non-GAAP financial measures. Yalla’s press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited most directly comparable GAAP measures. Today, you will hear from Mr. Tao Yang, our Chairman and Executive Officer, who will provide an overview of our latest achievements and growth strategies. He will be followed by Mr. Saifi Ismail, the Company’s President, who will briefly review our recent business developments. Ms. Karen Hu, our Chief Financial Officer, will then provide additional details on the Company’s financial results and discuss our financial outlook. Following management’s prepared remarks, we will open the call to questions. Mr. Jeff Xu, our Chief Operating Officer, will join the Q&A session. With that said, I would now like to turn the call over to our Chairman and Chief Executive Officer, Mr. Tao Yang. Please go ahead, sir.
Tao Yang: Thank you. Thank you everyone for joining our first quarter 2025 earnings conference call. We kicked off 2025 with a strong first quarter. Even with the impact of Ramadan, which fell entirely within the first quarter this year. Our Q1 revenues still reached $83.9 million, up 6.5% year-over-year and beating the upper end of our guidance. Our persistent efforts to deliver quality growth and enhance our overall efficiency are also yielding positive results. In Q1, our net margin improved substantially year-over-year from 39.5% to 43.4%. Our robust quarterly performance benefited from our effective growth strategy and efforts to enhance our flagship application, schemification and optimize user acquisition, and these initiatives ultimately delivered a better experience for our users, boosting Yalla's and Yalla Ludo's users willingness to pay and stay. In recent months, shifting international economic policies have sharply impacted the global macro economy against this fast evolving backdrop. The MENA region, Yalla's core strategic market, has maintained remarkable stability and immense potential upside. Historically, the Middle East served as a retail crossroads for cultural exchange and trade between East and West. Today it is a thriving hub for digital services thanks to its vibrant young demographics and high Internet penetration. Technology is actively embraced across the region, making MENA a prime incubator for advanced tech development and AI innovation. To capitalize on these opportunities, Yalla, as MENA's largest destination for online social networking and entertainment activities, remains deeply committed to R&D and AI deployment. During the first quarter, we leveraged extensive localized materials from our products in the Middle East to train our self-developed AI content moderation model to support recognition of both images and text in Arabic as well as several of MENA's regional dialects. We are especially proud that our proprietary platform's recognition speed and accuracy now lead the MENA region. We also integrated our moderation platform into our flagship products during the quarter, a win-win in terms of technological advancement and cost efficiency. Beyond moderation, we extended AI applications to user profile management. Our data integration and systematic tech management tools bring deeper insights into user activity, spending patterns and other behaviors, further optimizing our customer acquisition efficiency. Moving to our gaming business, amid global economic volatility, MENA's young population, enhanced digital infrastructure and visionary government support for the culture and entertainment industries are generating unique growth momentum for the gaming sector with a robust product pipeline spanning casual and medical games. We have matched three titles slated for official release in Q3. We just completed one round of product testing and the team is working to further improve various details before this title’s launch. We may test the waters in a few additional regions outside MENA. With this game moving forward, we will continue to build our product metrics with a steady and displaying the approach and collaborate with industry partners to foster the growth and prosperity of MENA's gaming ecosystem. Before I turn the call over to Saifi, an update on our shareholder return program. We mentioned last quarter that we would accelerate our share repurchases this year, targeting at least double the amount of last year's buyback or a minimum of $28 million. As of May 16, 2025, Yalla had repurchased over $4.2 million ADS or Class A ordinary shares in 2025 totaling $27.4 million, bringing us close to fulfilling our commitment made this March. In line with our commitment to sustained shareholder returns, we have decided to raise this year's buyback target by an additional $22 million on top of the previously outlined $28 million, bringing our total planned share repurchases to $50 million for 2025. We will provide another progress update next quarter and discuss whether to increase the buyback scale even further. Moreover, the company has decided to cancel all shares repurchased this year as part of our commitment to generating sustained benefits for our shareholders. In summary, Yalla Group deftly capitalized on diverse opportunities during the fourth quarter amid a complex global landscape, achieving breakthroughs in both R&D and product offerings, harnessing MENA's vast potential and tack forward ethos [ph], which we continued to deepen our technological capabilities, using AI innovation to drive efficiency improvements and optimize user experience while further strengthening our localized advantage. We remain committed to amplifying Yalla Group's role in the Middle East digital transformation, creating value for all of our stakeholders. Now I will turn this call over to our President, Mr. Saifi Ismail for a closer look at our recent development.
Saifi Ismail: Hello everyone. Thanks for joining us today. Let's take a closer look at our first quarter operations and our products performance. First, let me walk you through our operational and product performance in the first quarter. It is important to note that Ramadan in 2025 started earlier than usual with the entire month falling within the first quarter. Even so, our products delivered impressive results, notably why our flagship application near Yalla Ludo's user base continued to grow. Our WeMuslim organically gained broader popularity during Ramadan. Without raising our selling and marketing expenses, we increased our group's average monthly active user by 17.9% year-over-year to $44.6 million, achieving an accelerating growth rate substantially higher than that of previous quarters. We continued to roll out competing online and offline initiatives crafted to enhance user experience and boost engagement, and we are thrilled to see them drive meaningful results within Yalla's vibrant community. Yalla Ludo’s 6th anniversary campaign was a resounding success, attracting around 3 million participants, including a remarkable share of devoted users who have been with Ludo since its launch. For Ramadan, we introduced a spectacular array of month-long celebratory events online across our mobile apps drawing users closer to our products and each other, participating in our activities and exploring Yalla's apps became a new part of our users daily lives during Ramadan. To celebrate the close of Ramadan, we also hosted an Iftar gathering in Dubai showcasing the crucial role our offline activities play in driving industry progress. This event brought together over a hundred government officials, business partners, tech industry leaders and regional media executives to engage in thought provoking discussions on the latest trend and innovation opportunities in technology while sparking insightful exchanges of ideas. This gathering also expanded the region's cross segment partnership networks industry wide, laying a solid foundation for future synergistic growth. We were honored to host these distinguished guests and to extend our heartfelt gratitude to our partners for their continued trust and support. At the end of March, we hosted an additional offline event to amplify our regional presence and strengthen our brand impact. Returning to Iraq with the Yalla Ludo Friendship Tournament, tens of thousands of users registered for the online qualifying rounds to compete for a coveted spot in the offline event. These events gave us invaluable insight into the passion of this region's players and their high regard for the Yalla Ludo brand. Looking back at the first quarter of 2025, we see our success reflected in growth metrics as well as deepening user trust market recognition. Looking ahead, we remain committed to harnessing technological innovation as our engine and user needs as our compass driving synergy between our social and gaming businesses while expanding the boundaries of MENA's digital ecosystem. As always, our vision is to build the largest destination for online social networking and entertainment activities in MENA and we will never lose sight of that goal. With that, I will now turn the call over to our CFO, Karen who will discuss our key financial and operational results.
Karen Hu: Thank you, Saifi and hello everyone. Thank you for joining us today. I am pleased to report that we delivered a robust first quarter as we continue to -- our high quality growth strategy and enhance all overall efficiency. Our revenues increased by 6.5% year-over-year to $83.9 million despite the impact of Ramadan. Thanks to our disciplined cost control and stronger operating leverage across the business, we further enhanced our profitability with net income increasing by 17% year-over-year to $36.4 million. Our net margin also rose substantially to 43.4% from 39.5% in the same period last year. And excluding share based compensation, non-GAAP net margin increased to 46.6% supported by our solid fundamentals and a clear strategy roadmap, we remain confident in our ability to seize new opportunities across MENA region and beyond and deliver enduring value to our stakeholders. Let's move on to our detailed financials for the first quarter of 2025. Our revenues were $83.9 million in the first quarter of 2025, a 6.5% increase from $78.7 million in the same period last year. The increase was primarily driven by our broadening user base and the enhanced monetization capability. Turning to our costs and expenses, our total cost and expenses were $52.7 million in the first quarter of 2025, a 6.2% increase from $49.6 million in the same period last year. Cost of revenues was $29.2 million in the first quarter of 2025, a 2.2% increase from $28.6 million in the same period last year, primarily due to higher commission fees paid to third party payment platforms as a result of increasing revenues generated. Cost of revenues as a percentage of total revenues decreased to 34.8% in the first quarter of 2025 from 26.3% in the same period last year. Our Selling and Marketing expenses were $6.9 million in the first quarter of 2025, a 14.3% decrease from $8.1 million in the same period last year, primarily driven by a decrease in incentive compensation. Selling and marketing expenses as percentage of total revenues decreased to 8.3% in the first quarter of 2025 from 10.3% in the same period last year. Our general and administrative expenses were $8.7 million in the first quarter of 2025, a 30.8% increase from $6.6 million in the same period last year, primarily due to an increase in incentive compensation and the higher professional services fees. General and administrative expenses as percentage of total revenues increased to 10.4% in the fourth quarter of 2025 from 8.4% in the same period last year. Our technology and product development expenses were $7.8 million in the first quarter of 2025, a 25% increase from $6.3 million in same period last year, primarily due to an increase in salaries and benefits for our technology and product development staff, driven by an increase in the headcounts of the staffs to support the development of new businesses and expansion of our product portfolio. Technology and product development expenses as percentage of total revenues increased to 9.3% in the first quarter of 2025 from 8% in the same period last year. As such, our operating income was $31.2 million in the first quarter of 2025, a 7.1% increase from $29.1 million in the same period last year. Interest income was flat at $6.6 million in the first quarter of 2025 compared with the same period last year. Income tax expense was $1.4 million in the first quarter of 2025 compared with $3.5 million in the fourth quarter of 2024 primarily due to a decrease in UAE corporate tax. As a result of foregoing, our net income was $36.4 million in the first quarter of 2025, a 17% increase from $31.1 million in the first quarter of 2024, and our non-GAAP net income in the first quarter of 2025 was 39.1, a 10.9% increase from $35.3 million in the same period last year. Moving on to our liquidity and capital resources, our cash position remains solid and healthy. As of March 31, 2025, we had cash and cash equivalents, restricted cash term deposits and short-term investments of $690.9 million compared with $656.3 million as of December 31, 2024. We continue to return value through our share repurchase program pursuit to the Company's current share repurchase program. From January 1 through May 16, 2025, the Company repurchased 4,275,812 ADS or Class A ordinary shares totaling approximately $27.4 million, including $5.4 million in the first quarter of 2025. As of May 16, 2025, the Company has cumulatively completed cash repurchases in the open market of 11,580,950 ADS, all Class A ordinary shares totaling approximately $76.9 million since the inception of current share repurchase program. The aggregated value of ADS or Class A Ordinary shares that reach remain available for purchase under the current share repurchase program was $73.1 million as of May 16, 2025. Furthermore, as our CEO just mentioned, we have raised our 2025 share buyback target to $15 million, strengthening our commitment to share our success with shareholders. We believe our solid fundamentals and ampere liquidity will support us in returning value to shareholders while maintaining daily operations and investing in future growth. Moving to our outlook for the second quarter of 2025, we expect our revenues to be between $76 million and $83 million. The bulk outlook is based on the current market conditions and reflects the company's management, current and preliminary estimates of the market and operating conditions and customer demand, which are all subject to change. In the interest of time please refer to our earnings press release for further details on our first quarter 2025 financial results. This concludes our prepared remarks for today. Operator we are now ready to take questions.
Operator: Thank you. [Operator Instructions] And our first question will come from Xueqing Zhang with CICC. Please go ahead.
Xueqing Zhang: Hi, Good morning management. Thanks for taking my question and congratulations on another solid quarter. My question is about your financials. What's the main driver of the significant year-over-year increase in net margin, and any guidance for next quarter and this year? Thank you.
Karen Hu: Thank you. Xueqing, I will take your question. On the revenue side, revenues from game services are the main growth driver. Our flagship product like Yalla Ludo continues to progress smoothly and the [Indiscernible] Yalla has achieved record high revenues for three consecutive quarters. On the expense side, we have significantly decreased our selling and marketing expenses mainly thanks to enhanced user acquisition efficiency driven by our innovative AI predictive model for analyzing user’s lifetime value. Together these factors support our robust net margin performance. Regarding next quarter's guidance, I would say it's fair to expect our net margin to remain at around 40%. It is a relatively sustainable level given our current business. Thank you.
Operator: The next question will come from Xiaoyue Hu with Haitong International. Please go ahead.
Xiaoyue Hu: Hello Management. Thank you for taking my question and congrats on a strong first quarter. So can management please share the recent developments of our two flagship products so Yalla and Yalla Ludo. Thank you.
Saifi Ismail: Hi, I'll take this question and thanks. So Yalla is celebrating its ninth anniversary today, coincidentally on the same day as our earning release. So we have kicked off a major in app celebration to mark this special occasion. We also have some iteration lined up for Yalla's operation and design this year to enrich user chatting experience, making it more fun. The goal is to keep things fresh and engaging of our users and draw in a wider audience. For Yalla Ludo we continue to boost user engagement in our online community through high quality operational activities. We also continue to host highly braced tournaments across MENA countries, effectively expanding Yalla Ludo's brand influence from online to offline. So overall, we see both products performing swiftly, generating steady and consistent cash flow for the company. Thank you.
Operator: The next question will come from Lincoln Kong with Goldman Sachs. Please go ahead.
Lincoln Kong: Thank you management for taking my question. So my question is about shareholder return. So we have seen actually the share price rally quite nicely in the past two months. So at this moment, could you share the latest sort of the mindset behind the shareholder return plan going forward, how should we think about the consistency for our buyback program? Thank you.
Tao Yang: Hi Lincoln, this is Tao. I will take this question. We are glad to see a market correction in the company's valuation. Our buyback program is definitely picking up speed. Two months ago, we committed to at least doubling last year's buyback amounts for 2025 and we are close to achieving this goal. As we just mentioned, to further strengthen our efforts to return value to shareholders, we have raised this year's buyback target by an additional 22 million USD, bringing our total plan share repurchase to $50 million. I also want to highlight that the company has decided to cancel all shares were purchased this year as part of our commitment to delivering sustained benefits to our shareholders. We will provide another update next quarter and discuss whether to further ramp up the buyback. I hope that helps. Thank you, Lincoln.
Operator: Thank you. The next question will come from Kaifang Jia with CITIC. Please go ahead.
Kaifang Jia: Hi management. Thanks for taking my questions. Could management brief us on the advancements in midcore and hardcore games? Thank you.
Saifi Ismail: Hi Kaifang. Thanks for raising this. Our CEO just mentioned a match three title set to be released in Q3. And we have several additional midcore games in the pipeline with potential launches as early as Q3. For these games, we are not only focusing on the Middle East, but are also exploring several other overseas markets to expand our user base. We provide more details after the official rollout. Thank you.
Operator: The next question will come from Jenny Yuan with UBS. Please go ahead.
Jenny Yuan: Hello. Thanks management for taking my question. So would Yalla has achieved their strong growth momentum this year with multiple new products. So looking ahead, will we see a MAU [ph] ambitious user acquisition plan in the future? Thank you.
Saifi Ismail: Thank you Jenny for your question. I'll be taking this question. So, MAU growth in Q1 indeed came in well above our expectations. Historically, our quarterly MAU growth has ranged from 2% to 3% and Q1 exceeded 7%. This was largely driven by our refined user acquisition strategy tailored for Ramadan as well as our AI driven traffic acquisition optimizations. Overall, this year's MAU growth may not follow the smooth trajectory we saw in the past few years. We will adjust and plan dynamically based on the needs of the products and communities while keeping a close eye on the ROI of our marketing initiatives. Currently, we still expect full year MAU growth to be around 10% year-over-year. We'll revisit this and keep you posted if anything new comes up. Thank you.
Operator: As there are no further questions now, I would like to turn the call back over to management for any closing remarks. Please go ahead.
Kerry Gao: Thank you once again for joining us today. We look forward to speaking with you in the next quarter. If you have further questions, please feel free to contact Yalla’s Investor Relations or Piacente Financial Communications. Both parties contact information is available in today's press release as well as on our company website.
Operator: This concludes this conference call. You may now disconnect your lines and thank you.